Operator: Good afternoon. Thank you for attending today’s Perdoceo First Quarter Fiscal 2022 Conference Call. My name is Tania, and I will be your moderator for today’s call. All lines will be muted during the presentation portion of the call with an opportunity for questions and answers at the end. [Operator Instructions] I would now like to pass the conference over to your host, Davis Snyder of Alpha IR Group. Please go ahead.
Davis Snyder: Thank you, Tania. Good afternoon, everyone, and thank you for joining us for our first quarter 2022 earnings call. With me on the call today is Todd Nelson, Executive Chairman; Andrew Hurst, President and Chief Executive Officer; and Ashish Ghia, Chief Financial Officer. This conference call is being webcast live within the Investor Relations section at perdoceoed.com. Our webcast replay will also be available on our site, and you can always contact the Alpha IR Group for Investor Relations support. Let me remind you that this afternoon’s earnings release and remarks made today include forward-looking statements as defined in Section 21E of the Securities Exchange Act of 1934. These statements are based on assumptions made by and information currently available to Perdoceo Education and involve risks and uncertainties that could cause actual future results, performance, business prospects and opportunities to differ materially from those expressed in or implied by these statements. These risks and uncertainties include, but are not limited to, those factors identified in Perdoceo’s Annual Report on Form 10-K for the year ended December 31, 2021, and subsequent filings with the Securities and Exchange Commission. Except as expressly required by the securities laws, the company undertakes no obligation to update those factors or any forward-looking statements to reflect future events, developments or changed circumstances or for any other reason. In addition, today’s remarks refer to non-GAAP financial measures, which are intended to supplement, but not to substitute for the most directly comparable GAAP measures. The earnings release that accompanies today’s call contains financial and other quantitative information to be discussed today as well as a reconciliation of the GAAP to non-GAAP measures, and is available within the Investor Relations page on the company’s website. With that, I would like to turn the call over to Todd Nelson. Todd?
Todd Nelson: Thank you, Davis, and good afternoon, everyone, and thank you for joining us for our first quarter 2022 earnings call. I’d like to begin by thanking our faculty, student support staff and all other employees for their hard work, dedication and diligence in serving and educating our students. Overall, I’m pleased with our first quarter operating and financial results as we continue to focus on further enhancing student experiences and academic outcomes. Andrew has transitioned well into his role as CEO, and together, we’re excited about the educational and learning opportunities that our academic institutions offer to prospective learners. With that said, I’d like to turn the call over to Andrew to discuss the operating results and highlights from the quarter. Andrew?
Andrew Hurst: Thank you, Todd. Good afternoon to all, and thank you for joining us. I would also like to thank our faculty, student support staff and all of our other employees for their continued dedication in educating and serving our students. Our first quarter operating results were in line with the previously provided outlook, and we continue to make progress in improving student experiences and academic outcomes. Let me touch upon some of the key operational highlights from the quarter, which are mainly a continuation of the operating highlights we discussed during our year-end call. First, as discussed last quarter, we believe the prolonged pandemic and its resulting safety measures, as well as the macroeconomic and governmental responses, have impacted overall student engagement and will continue to have a lingering impact on total student enrollments throughout 2022, especially as the COVID-19 era restrictions ease, and we continue to emerge from the pandemic. During the first quarter, we continued to experience some students pause their academic programs or decide not to begin classes, which impacted the total enrollments for the end of the first quarter. Although we are seeing marginal improvements in student engagement, we still expect total enrollments to decline for the full year as compared to the prior year. Second, beginning in the third quarter of 2021 and aided by data analytics, we made adjustments to our marketing strategies to further improve our focus on identifying prospective students who are more likely to succeed at one of our universities. We believe these adjustments will impact total student enrollments during 2022, but in the long run should further enhance student experiences, retention and academic outcomes. Now, let me provide further details regarding our operating results for the quarter. We reported first quarter net income of $32.1 million or $0.46 per diluted share, while adjusted earnings per diluted share, which excludes certain significant and non-cash items, was $0.57. Total student enrollments as of March 31, 2022, were 14.7% lower as compared to the prior year quarter end. Total student enrollments decreased by 13.9% at CTU and 16.1% at the AIU system, which we also refer to as AIUS. These declines were due to the factors previously mentioned as well as CTU’s academic calendar redesign, which negatively impacted total student enrollment year-over-year comparability. Changes to the marketing processes will annualize beginning with the third quarter, and we are seeing marginal improvements in student engagement as students adjust to an environment where pandemic-related restrictions are winding down. As a result, we remain cautiously optimistic and expect the rate of decline in total enrollment to show gradual improvement for the remainder of the year. Enhancing academic outcomes and student experiences remains a top priority of our academic institutions. To that end, we continue to support investments in our technology infrastructure, including data analytics, so that our teams can be more effective in their student support efforts. Our technology infrastructure advancement project is progressing well, and we continue to update our mobile platform and virtual campus. Given the competitive labor market, we are investing more in our employee recruiting resources, and thus far have been maintaining appropriate staffing levels to effectively serve and educate our students. With that said, I would now like to turn the call over to Ashish for a deeper review of our operating performance for the quarter. Ashish?
Ashish Ghia: Thank you, Andrew. I will now review our first quarter results and then discuss our balance sheet and 2022 outlook before handing the call back to Andrew for his closing remarks. Please note that all comparisons I discuss are versus the comparative prior year period, unless otherwise stated. Before I begin, a quick reminder about year-over-year comparability. First, operating results for the AIU system and CTU reflect the two acquisitions completed during the third quarter of last year. Second, we are adjusting for legal fees associated with certain matters. All prior period amounts have been adjusted to maintain comparability. With that said, let us begin with an overview of our operating results. For the first quarter of 2022, total company operating income increased by 7.6% to $43.7 million as compared to an operating income of $40.6 million. Adjusted operating income, which excludes certain significant and non-cash items, and which we believe is more reflective of the underlying operating performance was $50.9 million for the first quarter, reflecting an increase of 30.5% when compared to the prior year quarter. This result exceeded the high end of our outlook range for the quarter, primarily due to better-than-expected total enrollments that positively impacted revenue. Net income for the quarter was $32.1 million compared to $30.8 million in the prior year quarter, equating to $0.46 per diluted share. While adjusted earnings per diluted share which, again, we believe is more indicative of the underlying operating performance, was $0.15. This improvement in adjusted operating income for the quarter was primarily due to lower marketing and admissions expenses as compared to the prior year quarter. Please note that the two acquisitions we completed in the third quarter of 2021 did not have a material impact on the adjusted operating income for the quarter. Moving on to some more details around the first quarter 2022 results. Total company revenue of $183 million was 0.4% lower as compared to the prior year quarter. Revenue for the current quarter was positively impacted by the academic calendar redesign at CTU as well as the two acquisitions we completed in the third quarter of 2021. As it relates to our segments, total student enrollment as of March 31, 2022, decreased by 13.9% at CTU and 16.1% at AIUS as compared to the prior year quarter. This decline in total enrollment was expected and reflects our continued belief that enrollments have been impacted by the COVID-19 pandemic and adjustment made to our marketing processes. While these factors may continue to impact total enrollments, through 2022, we believe that once changes to our marketing processes begin to annualize with the third quarter and as students further adjust to an environment post COVID-19, the rate of decline in total student enrollment should gradually improve throughout 2022. As a reminder, total enrollments do not include learners who are participating in our non-degree professional development and continuing education offerings. First quarter revenue at CTU was $113.1 million or 6.9% higher than the prior year quarter primarily due to the positive impact from the academic calendar redesign. Also benefiting the current quarter was the acquisition completed in the third quarter of 2021. Excluding these positive impacts, CTU would have experienced a decline in revenue. Operating income of $43 million was $6.9 million higher versus the prior year quarter due to an increase in revenue as well as lower marketing and admission expenses. Turning to AIUS system. Revenue decreased 10.3% to $69.5 million for the quarter, primarily due to the decrease in total student enrollments. Operating income of $9.5 million decreased 15.9% compared to the prior year quarter as a result of the decrease in revenue, which was only partially offset with decreased operating expenses. Please note, in general, there is typically a lag in the impact on revenue from the changes in total student enrollment levels. And as a result, we expect full year 2022 revenue to be lower as compared to 2021. Having said that, we will continue with our efforts to adjust various operating processes and expenses to partially offset the revenue decline. Finally, we would like to note that both of our 2021 acquisitions are not expected to be material to the full year results of the company and are operating on a relatively cash-neutral basis. Moving on to Corporate and Other. First quarter operating losses increased to $8.9 million versus $6.8 million in the prior year quarter primarily due to increased legal fees associated with the responses to the Department of Education relating to loan forgiveness applications by former students. For additional information on this matter regarding – please refer to the disclosure regarding borrower defense to repayment in our 10-Q that was filed this afternoon. Now on to income taxes. For the first quarter, we recorded a provision for income taxes of $11.8 million, resulting in an effective tax rate of 26.8%. The effective tax rate for the quarter was impacted by the tax effect of stock-based compensation and the release of previously recorded tax reserves, the net effect of which increased the tax rate by approximately 0.5%. Finally, we expect that for the full year 2022, our effective tax rate will be between 25.5% and 26.5%. Moving to the balance sheet. Net cash provided by operations was $22.2 million for the quarter versus $44.7 million in the prior year quarter. We ended the quarter with $499.3 million of cash, cash equivalents, restricted cash and available for sale short-term investments. Please note that the timing of Title IV cash receipts negatively impacted operating cash flows for the current quarter. Additionally, the first quarter included cash outflows related to the annual incentive compensation, payments in connection with the potential acquisition, capital expenditures and a release of escrow related to the Trident acquisition. These items resulted in the quarter-end cash balances to be essentially flat as compared to the year-end 2021. Capital expenditures for the first quarter were approximately $4.7 million or 2.6% of revenue. For full year 2022, we foresee capital expenditures to be approximately 2% of revenues. Finally, to our updated outlook for 2022. Full year 2022 adjusted operating income is now expected to range between $137 million to $148 million as compared to a previously provided range of $135 million to $148 million. This outlook reflects our beliefs that year-end total student enrollments will be lower than 2021, however, the rate of decline in total enrollments will gradually improve throughout 2022. Full year revenue will be lower than 2021, reflecting the lower total student enrollments. Lastly, as disclosed in our Form 10-Q filed today and the 10-K filed in February of 2022, the Department of Education is going through a negotiated rule-making process surrounding various topics. While we continue to monitor these rule-making initiatives, any operational changes undertaken that may be necessary as a result of any final rules could have an impact on the outlook presented above. Adjusted earnings per diluted share is now expected to range between $1.32 and $1.44 per diluted share. For the second quarter of 2022, we expect adjusted operating income to be in the range of $37 million to $39 million as compared to $42.3 million in the prior year quarter, with adjusted earnings per diluted share to range between $0.36 and $0.38 per diluted share versus $0.41 in the second quarter of 2021. Please note that the first half of 2022 operating performance includes the revenue benefit from the academic calendar redesign at CTU as well as anticipated lower operating expenses compared to the prior year. These benefits will not apply to the same degree for the remainder of the year. As a result, adjusted operating income for the second half will be lower as compared to the first half of the year. I would like to conclude by commenting on our balanced approach to capital allocation. We continue to focus on maintaining a strong balance sheet and adequate liquidity while investing in organic projects, in particular, technology-related initiatives which are designed to benefit our students and evaluating diverse strategies to enhance stockholder value, including acquisitions and share repurchases. We completed two acquisitions during 2021 with a combined initial cash consideration of approximately $57 million, which was fully funded with the company’s available cash balances. And we currently anticipate that we will complete another acquisition by the end of 2022 with a purchase price relatively similar to last year’s acquisitions. With respect to share repurchases, we repurchased 0.4 million shares during the quarter for approximately $3.8 million at an average price of $10.56 per share. As of March 31, 2022, approximately $46.2 million was still available under our authorized stock repurchase program. Share repurchases will remain a part of our capital allocation strategy, and we intend to pursue them when deemed appropriate based on market and other conditions. We ask you to refer to our earnings release filed today for important information about the key assumptions and factors underlying our 2022 outlook and other expectations discussed on today’s call, as well as the GAAP to non-GAAP reconciliations. With that, I will turn the call back over to Andrew for his closing remarks. Andrew?
Andrew Hurst: Thanks, Ashish. We are pleased with our first quarter operating results and look forward to executing on our various initiatives discussed earlier that focus on further enhancing academic outcomes and student experiences. With that, I’ll turn it back over to Davis.
Davis Snyder: Sorry, I was on mute. I think we will now open up the call for Q&A.
Operator: Thank you. The first question is from the line of Alex Paris with Barrington Research. Your line is open.
Alex Paris: Hi, guys. Thanks for taking my call. I have a few questions. First, I’ll try to keep this on a top-down basis, starting with overall demand in the environment generally. I heard what you said about declining year-over-year total enrollment – diminishing of the decline gradually throughout the year. What do you attribute that to? Is it demand, inquiries, applications? Is it easier comps? Is it COVID waning? Just maybe a little bit more color on the overall environment and changes that you’ve noted over the last three or six months, today?
Todd Nelson: Sure. Well, I think, again, the good news is that we continue to see strong inquiry flow. We’ve adjusted to some degree our marketing spend, but still the availability and the interest is out there. We have seen, as we’ve mentioned before, the show rate itself of those who have applied. It has been a little bit softer, and that’s where you just see that kind of lack of student engagement at the beginning, and that has started to slightly recover. We’re cautiously optimistic that will continue. But Alex, that’s really the biggest change that we have seen.
Alex Paris: Okay. Great. And then with regard to the marketing changes, is it you’re spending the same dollars, you’re just spend them differently? Or are you spending more dollars, you’re spending less dollars? I know you’re going after those students that are more likely to succeed in your programs.
Todd Nelson: Yes. That is – the last point you made, we’re really – that’s been our focus. Some quarters, the spending is a little higher and some a little lower, so it just depends on a lot of different factors. But the bottom line is we really are focused on those who have more of a propensity to show and then complete the programs. And as we see that shift over time, then I could see us adjusting it back to that direction. But right now, that’s been our focus because we feel they have the best chance of succeeding in the program, given right now how student or your prospective student behavior is performing.
Alex Paris: Got you. So in the absolute sense, are marketing expenses higher than they used to be given this change in strategy? Or is it sort of just similar but redirected?
Todd Nelson: Yes, sure. Ashish, do you want to respond to that?
Ashish Ghia: Yes. No, from an overall perspective, as we pointed out, marketing expenses are lower as compared to the comparable period. And as a reminder, second half, we will start annualizing these, so the expenses then, Alex, would be more comparable in the second half as compared to the last year.
Alex Paris: Got you. And then moving on, CTU revenue benefited from the academic calendar redesign in Q1, I think, you said it in your prepared comments. But we don’t expect any such phenomena over the balance of the year, it will be more of a comparable starts year-over-year?
Todd Nelson: Ashish?
Ashish Ghia: Yes. Great question, Alex. I think just – yes. For the remainder of the year, the academic calendar redesign will not have the same benefit at the same degree for the remaining quarters of the year. And as far as you mentioned about the starts or the new enrollments, as you probably know, we don’t necessarily disclose or comment on new enrollments because the academic calendar redesign does tend to impact that. So ignoring those new enrollments, the benefit will not apply to the same degree for the remainder of the year.
Alex Paris: Got you. All right. Thank you. And then I guess my last question, and I’ll finish on that. You mentioned the two acquisitions you made during the third quarter of last year, digital crafts and Hippo education. Just wondering if you can give us a little update on how those are doing under the auspices of Perdoceo? I know Perdoceo has a technology platform. Perdoceo has the ability to generate lead flow for these acquisitions. How has that been coming along?
Todd Nelson: Well, the good news is, Alex, the integration has been really excellent. It’s exactly where we would hope it would be. I think it really goes to show the quality of the management teams of both of those new acquisitions, and so we’re very pleased with that. And I would just say is their overall performance, it’s really, I would say, a little above our expectation right now. We hadn’t anticipated, again, a lot of growth. Our main goal is that making sure that there’s long-term successful growth in the areas where we feel the market is needed. So right now, again, it’s exceeding our expectation and we’re looking forward to that in the future.
Alex Paris: And this is the last one, I promise, but it is related. Within M&A, you sort of telegraphed, and I think you did it previous quarter also that you expect to do on acquisition before the end of the year. Orders of magnitude similar to the other acquisitions that you have made. Not transformative type acquisitions, tuck-ins or bolt-ons. I was just going to ask, is – what gives you the confidence that you will do that? Are you close on something? And maybe just a little bit of an overview on what valuations look like for these ad tech type of companies, given the market sell off and its impact on ad tax specifically?
Todd Nelson: Yes. I mean we have identified the company. We’re obviously working towards trying to complete that. As you know, in our industry, it takes time to do that, and that’s where we are with that. Again, we anticipate and hope that will continue smoothly as we try to complete that before the end of the year. As far as ad tech companies, yes, I mean, they do obviously traded the – the multiple is higher for them than those that are degree granting. But having said that, it’s not – although we continue to remain interested in those, we also are interested in degree program and training companies as well. And they tend to not be trade at the same level that some of the ad tech companies do.
Alex Paris: That’s great. Thank you so much. I appreciate the additional color.
Todd Nelson: Thank you, Alex.
Operator: Thank you, Mr. Paris. There are no additional questions waiting at this time. I will now turn the conference over to Andrew for any closing remarks.
Andrew Hurst: Thank you again for joining us today. We look forward to talking to you again next quarter. Thank you.
Operator: That concludes the Perdoceo first quarter fiscal 2022 conference call. Enjoy the rest of your day.